Operator: Thank you for standing by and welcome to the Q1 Results Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session (Operator Instructions). I must advise you that this conference is being recorded today, Thursday, 15th of May 2014. I would now like to hand the conference over to your speaker today, Andy Davidson. Please go ahead.
Andy Davidson: Thank you very much. Good morning everyone. Thanks for joining. It’s just myself today on this call due to travel commitments from my colleagues. And as always, of course any questions that I can’t answer, we’ll make sure we get a response to you if it needs to go to my colleagues. But I’ll just briefly go over the highlights and then we’ll have a question-and-answer session at the end. As announced on the 9th of April, gold production was slightly down on our forecast levels at 74,241 ounces and the impact was felt as some mechanical issues in the underground which affected our equipment availability within our high grade stopes, so just slightly below where we expected to be. Those underground issues were resolved within the quarter and we retained our full year guidance of 420,000 ounces at $700 an ounce. Cash cost was slightly above that full year guidance at $744 an ounce, which is basically in line with a slightly lower output than we forecast, that will come back on track as production ramps up through the year with a Stage 4 commissioning. That Stage 4 commissioning is in process, first of all it was put through the new plant in the quarter. CapEx is complete and on budget at $331 million. So as I said we have a progressive ramp up through the remaining quarters of this year as we proceed to the nameplate 10 million tonnes rate of that expanded plant. We generated solid cash flow during the quarter despite the lower gold price environment and those minor issues that I mentioned earlier. EBITDA was $34 million and cash from operations was just a shy -- a shade below $28 million. So, still generating good cash flow, as I say, and that free cash generation will progressively increase from here as production ramps up and the expansion CapEx requirements diminish. Balance sheet remains strong, $138 million of cash and liquid assets and that all places us well to fund ongoing exploration which focuses on three main fronts which is Sukari, predominantly Sukari underground high grade expansions of course, at Ethiopia and in West Africa. In West Africa the Ampella acquisition is now complete and we started a systematic exploration program and we’ll obviously report on further progress and details of that as appropriate. In terms of the legal proceedings in Egypt, the court proceedings in relation to the fuel case and with Supreme and Administrative Court appeal are both in process and continue as in line with our expectations. We did note recently a law was passed in Egypt in late April which restricts the capacity for third parties to challenge contracts between investors and the government and we do believe that we'll benefit from this new law based on our legal advice. We continue to discuss with our advisors on how that law may be applied in our case. So with that brief summary, I’ll hand over operator please for any questions. Thanks.
Operator: (Operator Instructions) And your first question comes from the line from Jonathan Guy. Please ask your question.
Jonathan Guy - RBC Capital Markets : Can you just comment on the explosives permit and where things are with that and how quickly you expect it be resolved? And when it will become an issue for you if it wasn’t resolved?
Andy Davidson: Yes, thanks Jonathan. I think our exposure on this is being pretty clear and the year we’ve highlighted that as a deliverable through in the course of this year, it’s not something that’s going to impact production this year. Obviously the earlier we get it, the better, it has impacted to the extent that we haven’t received it so far this year, it’s impacted some of the waste stripping we plan to do. But as I say, it’s not going to impact this year’s production. We do continue to expect it shortly in the coming month or several months. As I say, it’s a deliverable for the course of this year. So that’s where we are.
Jonathan Guy - RBC Capital Markets : Okay. Well, I mean I guess I mean you just -- you expect it over the next quarter or expect it over the next half or there is no fixed time line on it?
Andy Davidson: Well, Jon from the course of it -- the challenge with this is that obviously with the -- in the political part of the process where the final stage where it requires sign-off and I would suggest that generally that the political environment in Egypt is stabilizing quickly now and with particularly of course it’s not a related issue of course, but we’re in the election process in Egypt. But generally I think we’ve seen decisions being made, progress happening on the political front generally in Egypt and I suppose that is also related to the investment law I was pointing out earlier that the government is taking proactive decisions now, which has not always been the case over the last two-three years. So we’re confident we’re going to receive the authorization shortly, I can’t say weeks, months or whatever, but certainly this year.
Operator: Your next question comes from the line from Cailey Barker. Please ask your question.
Cailey Barker - Numis Securities: Good morning Andy. Yes, just I haven't really gotten any insightful questions but just a couple of more boring ones. Just in terms of your costs, I see they've come down quite a bit on this quarter on a unit basis, dollar per tonne, especially in mining costs come quite sharply down and your underground cost have dipped below sort of $50 a tonne. Is that -- could you just give us a bit more color on why that is and what you expect through the course of this year?
Andy Davidson: Yes, hi Cailey. I think where unit costs are coming down generally is as efficiencies come through the operations scale up. I mean that’s the sort of a broad theme that we continue to expect particularly as Stage 4 continues to ramp up and we get those efficiencies to scale. And I think possibly unit costs on mining pretty much in line with where we’d expect them to be. There was a little bit less drill and blast of course this quarter because as we highlighted and as related to the last question to Jonathan, slightly lower than we expected waste stripping during the quarter. So there was a positive impact there, but fairly minor. But generally costs coming down as we expected. I think possibly the fourth quarter in terms of the mining cost that you mentioned was slightly higher than it does where we thought that would be for the fourth quarter. So perhaps if you’re looking on a Q-on-Q basis, that might give you a false impression that things will come down dramatically in one quarter, but they’re generally in line with where we expect them to be.
Cailey Barker – Numis Securities: Okay thanks. And then just a final question on some of the exploration stuff, what are you actually -- the exploration outside of Egypt that you’re hoping to do and especially (pallet) [ph] stuff what are you sort of targeting and hoping to get out of those initial programs?